Jake Lawrence: Good morning, everyone and welcome to Scotiabank’s 2016 Second Quarter Results Presentation. My name is Jake Lawrence and I am the Senior Vice President of Investor Relations for the bank. Presenting to you this morning is Brian Porter, Scotiabank’s President and Chief Executive Officer, Sean McGuckin, our Chief Financial Officer, and Stephen Hart, the bank’s Chief Risk Officer. Following our comments this morning, we will be glad to take your questions. Also in the room with us to join for the Q&A session is Scotiabank’s business line group heads, James O’Sullivan from Canadian Banking; Nacho Deschamps from International Banking; and Dieter Jentsch from Global Banking and Markets. Before we start the call and on behalf of those speaking today, I would like to refer you to Slide 2 of our presentation, which contains Scotiabank caution regarding forward-looking statements. And with that, I will now turn the call over to Brian Porter.
Brian Porter: Thank you, Jake and good morning everyone. I will start on Slide 4. We are pleased to report our second quarter results to our shareholders. For Q2, the bank delivered another good quarter of operating and financial results. As we announced on May 2, this quarter’s results include a restructuring charge, and while the decision to take the charge was not an easy one, it was done in a thoughtful manner. The charge and associated investments will support our strategic objectives and allow the bank to provide a better experience for our customers and employees as well as better results for you, our shareholders. Sean McGuckin, our CFO will provide further details on the charge and expected benefits in a moment. Adjusting for the impact of the restructuring charge, the bank earned $1.9 billion in the second quarter, delivering diluted earnings per share of $1.46, 3% ahead of the same period a year ago. Earnings growth this quarter was again driven by good performances in our personal and commercial banking businesses both in Canada and internationally. Strong results in our retail businesses allowed the bank to grow earnings despite elevated provisions for credit losses, largely related to energy, which contributed to lower results in Global Banking and Markets and reduced performance in International Banking. As a result of the continued strong performances in Canadian and International Banking, these businesses generated more than 80% of our Q2 earnings. Our adjusted return on equity in Q2 was 14.4%. Looking at our capital position, the bank remains well capitalized with a Common Equity Tier 1 ratio of 10.1%. We are well positioned to continue to invest in and grow the bank organically, and we have the balance sheet strength to selectively pursue acquisitions. As an example, this quarter, we closed acquisitions in Panama and Costa Rica, which strengthened our existing operations in these markets. As I said, I am pleased with this quarter’s earnings, particularly the performance of our retail businesses, which are executing on our strategies and driving bottom line growth. Before updating you on the bank’s strategic priorities, I would like to take a moment to speak to the tragic events in Fort McMurray. First and foremost, our thoughts go out to all those impacted by the fires. Secondly, the bank continues to support our customers in the region and that would not be possible without the dedication and hard work of many Scotiabankers. And finally, as a bank, we remain committed to being a part of a stronger Fort McMurray as the area rebuilds. I would now like to update you on some important steps we are taking to build an even better bank, which are benefiting our customers, shareholders, and employees. Last quarter, I discussed aspects of our digital transformation and our evolving business mix. This quarter, I will focus on our efforts to better serve our customers while reducing structural costs. The restructuring charge we took this quarter reflects a widespread series of initiatives across the bank to improve our efficiency and become low cost by design. Many of these initiatives are anchored in our digital transformation. At the same time, these initiatives are accelerating our ability to adapt to our customers’ shifting behaviors and preferences and to deliver a better customer experience. Let me elaborate on a few examples. The utility of our branches continues to evolve. As such, we are digitizing more services and transactions that are delivered through these channels. With more than 80% of transactions being done outside of branches, we are positioning our branches to be even more advice-driven. Moving to digital sales, our recent efforts to enhance our digital capabilities have resulted in significant improvements in our sales through digital channels. In the past year, digital sales growth in Canada has been very strong. Our progress here is well recognized. As an example, Retail Banker International has recognized the bank for having the best digital strategy among global banks. Now, let me comment on a few of our key efficiency initiatives. The increasing importance of technology for our business is obvious, and it is a significant expense category. One area we are becoming more efficient in is our technology spend, particularly by enhancing our operating model to deliver technology services internally. Another area where we are capturing productivity gains relates to procurement and strategic sourcing. There are several areas here where we can better leverage our scale and our footprint to achieve meaningful savings. The investments we are making in efficiencies also support our efforts to improve our customer focus and accelerate our digital transformation. In total, we expect the bank’s productivity ratio to improve meaningfully in the coming years, a win-win for our customers, shareholders, and employees. We appreciate that there is much interest in the bank’s digital transformation and how it will impact our business and financial performance. We intend to hold an Investor Day later this year to discuss both in more detail and we will provide more information on this event later this quarter. I will now pass the call to Sean to review this quarter’s performance.
Sean McGuckin: Thanks, Brian and good morning everyone. I will begin on Slide 7, which shows our key financial performance metrics for the current quarter and comparative periods. As Brian mentioned, Q2 diluted earnings per share adjusted for the restructuring charge was $1.46, up 3% year-over-year. The quarter had very strong personal and commercial banking results. The elevated provisions for credit losses this quarter related to a small number of accounts primarily in the energy sector and were largely offset by a gain on sale and lower employee benefit costs. Revenue growth was strong, up 10% from Q2 last year, with solid asset growth in Canadian Banking, International Banking, as well as U.S. corporate lending. Revenues are positively impacted by acquisitions as well as higher banking revenues, net gains on investment securities, and the aforementioned gain on sale of a non-core lease financing business, partially offsetting was lower wealth management, underwriting and advisory, and trading revenues. Our core banking margin was 2.38%, down 3 basis points year-over-year. Higher margins in Canadian Banking and International Banking were more than offset by the mix impact of higher volumes of lower yielding investment securities and lower interest gap profits. Core expenses were up 2% year-over-year after adjusting for the impact of the restructuring charge and acquisitions, overall a very good expense management performance in Q2. The 2% increase was primarily due to higher technology and professional fees reflecting the continued investments related to the digitalization of the bank as well as efficiency initiatives. Adjusting for the restructuring charge, the productivity ratio was 51.7%, reflecting an improvement of 310 basis points quarter-over-quarter and 160 basis points year-over-year. It is important to note that there were no benefits recorded in the second quarter related to the Q2 restructuring charge. These benefits start to accrue in Q3 and beyond. I will provide more detail in a moment. Moving to capital on Slide 8, as mentioned the bank continues to have a strong capital position with the common equity Tier 1 ratio of 10.1%, unchanged from last quarter. During the quarter the Bank generated net internal capital of $0.6 billion. Common equity Tier 1 risk weighted assets decreased $17 billion to $357 billion from $374 billion last quarter. The decrease was entirely driven by the impact of the stronger Canadian dollar on foreign currency denominated risk weighted assets. The Bank’s leverage ratio was 4.1%, up 10 basis points quarter-over-quarter. Moving on to the next slide, we want to provide some additional detail on restructuring charge in this quarter’s results. The senior management team is committed to the Bank’s strategic priorities which include ongoing efforts to enhance the customer experience, driving a digital transformation and improving our productivity ratio to operational efficiencies and structural cost savings. The restructuring charge amounted to $278 million after tax or $0.23 per share and is included in the other segment’s results this quarter. The restructuring charge arises from a structural cost reduction program and relates primarily to optimizing the branch network in Canadian Banking, simplifying and optimizing the Bank’s organizational structure and lastly reducing costs to deliver our internal corporate services including technology services. These strategic efforts will help the Bank sustain its strength in the marketplace and better position the bank for long-term growth. And as Brian noted this supports our ability to adapt to an evolving banking environment including change in customer preferences, behaviors and needs. The charge will be more than self funded by the expected benefits, will also support further investment in the digitization of the bank. Combined, these investments will deliver savings and yield efficiency improvements for the bank. In terms of savings we expect the program to reduce annual run rate expenses by approximately $350 million in 2017, growing to $550 by 2018 and growing to over $750 million for 2019 from today’s expense levels. For the second half of 2016, the net savings is estimated to be $40 million. Expected savings I just mentioned are a multiple of this quarter’s charge as the cost reduction program is both the near-term saving component and a second component that plays out over the next 18 months to 24 months. This latter component would include some of the distribution changes including to our branch network, those elements that leverage new technology investments and the streamlining of the delivery of internal corporate services. Investments to deliver on these components is being self funded with the near-term savings, thereby driving the higher $750 million run rate savings in 2019 compared to current expense levels. The estimated savings of $750 million by 2019 reflects roughly 5% of the bank’s current expense base. The majority, approximately 70% of the expected savings will benefit Canadian Banking and the balance primarily in Global Banking and Markets. We expect the actions related to this structural cost reduction program to contribute to a 200 basis points to 255 basis point improvement in the Bank’s productivity ratio for 2019. Turning now to the business line results beginning on Slide 10, Canadian Banking produced a strong quarter with net income of $977 million, up 18% year-over-year. Adjusting for the gain on sale of the lease financing business, net income was $877 million, up 6%. Loan volumes increased 3% year-over-year driven by prudently managed double-digit growth in credit cards and auto lending partly offset by a slight decline in mortgages. Adjusting for the Tangerine mortgage runoff book, mortgages grew slightly and total loan volumes rose 5% from Q2 last year. Deposit balances increased 7% year-over-year with retail checking and savings deposit balances up a strong 9% and 15% respectively. Our targeted asset growth and strong deposit growth reflect the execution of our strategy to improve business mix. The net interest margin rose 12 basis points from Q2 last year primarily due to margin expansion in deposits, acquisition impact as well as the runoff of low spread Tangerine mortgages. Wealth management contributed positive earnings growth of 2% year-over-year as expense reductions more than offset lower revenues from the moderation in asset volumes. AUM levels were up 2% year-over-year while AUA levels were down slightly versus the same period last year reflecting weaker market conditions. Provision for credit losses were up $35 million year-over-year due mainly to higher provisions in the retail portfolio driven by growth in higher spread products. The PCL ratio was up 4 basis points. Notwithstanding, the risk adjusted margin was up 8 basis points. Expenses increased 4% year-over-year or 2% adjusting for acquisition impacts. The increase was driven by higher technology and project spending and salary increases partially offset by benefits realized from ongoing cost reduction initiatives. Adjusting for the gain on sale, Canadian Banking delivered positive operating leverage of 0.7% year-to-date. Turning to the next slide on International Banking, net income increased 12% to $500 million from the same quarter last year. This is the business line’s third consecutive quarter of earnings at or above $500 million. These results reflected continued strong operating performance with strong loan, deposit and fee income growth in the Pacific Alliance region as well as positive operating leverage. Partly offsetting the very strong operating performance was an elevated level of commercial provisions for credit losses. International Banking continued to deliver strong loan growth of 13% year-over-year or 15% adjusting for the impact of foreign currency translation. Latin America continued a strong loan growth, up 19% on a constant currency basis from Q2 last year. The strong asset growth was also supported by excellent deposit growth of 19% versus the same quarter last year on a reported basis and up 20% when adjusting to the impact of foreign currency translation. The net interest margin increased to 4.69%, up 2 basis points versus the same period last year primarily due to acquisitions. Looking forward, the modest benefit of recent rate increases in some of the countries we operate in will begin to have a positive impact as assets re-price. Loan losses increased $114 million year-over-year and the loan loss ratio increased by 31 basis points to 150 basis points. The higher loan losses were driven almost entirely by one energy related account in Colombia and to a lesser extent, a small number of accounts in Puerto Rico. Expense growth was up 11% year-over-year, were up 6% when adjusting for the impact of acquisitions and foreign currency translation. The strong cost management in part reflects benefits from ongoing initiatives to reduce structural costs. On a reported basis, operating leverage was positive 3.1% year-to-date. Moving to Slide 12, Global Banking and Markets, net income of $323 million was down 28% from last year. Lower performance was driven largely by higher provisions for credit losses as well as lower contributions from equities. Trading revenues on a TEB basis decreased from last year primarily in equities. Total corporate loan volumes were up 18% versus Q2 of last year or up 13% after adjusting for the impact of foreign currency translation. The growth was across our portfolios in Canada, the U.S. and Europe. Volumes were lower in Asia as a result of our previously disclosed initiatives to reduce certain Asian trade finance businesses, which we have completed during Q2 of this year. Provisions for credit losses increased $105 million from last year due mostly to higher provisions on a small number of energy related accounts. Provision for credit losses increased to 57 basis points from a low level of 8 basis points a year ago. Stephen Hart will have more to say on our energy exposures in the risk discussion. Expenses were up 6% of year-over-year reflecting in part the negative impact of foreign currency translation. Adjusting for this, expenses were up 3% from higher salaries, technology and regulatory costs partly offset by lower performance based compensation. I will turn now to the other segment on Slide 13, which incorporates the results of group treasury, smaller operating units and certain corporate adjustments. The results include the net impact of asset liability management activities. The other segment reported a net loss of $277 million this quarter. Adjusting for the restructuring charge, net income was $1 million, earnings in this segment were down from $32 million in Q2 last year and reflects lower contributions from asset liability and management activities and higher expenses partly offset by the positive impact of foreign currency translation and higher net gains on investment securities. Lower expenses and postretirement benefit costs were largely offset by an increase in the collective allowance on performing loans. This completes my review of our financial results. I will now turn it over to Stephen who will discuss risk management.
Stephen Hart: Thanks Sean. Good morning, everyone. We remain comfortable with the underlying fundamentals of the Bank’s risk portfolios and we expect that this quarter’s higher loan loss ratio to be the peak level for the year. The all bank loss ratio came in at 64 basis points or 59 basis points after adjusting for the increase in the collective allowance for performing loans. This loss ratio was up 14 basis points quarter-over-quarter and up 18 basis points year-over-year. Before discussing the current credit metrics, I would like to give you an update on our retail, corporate and commercial credit portfolios. In Canada, our retail delinquency rates and overall retail credit quality remained stable albeit we are seeing some continued regional weakness in the prairies. This is being offset by strength in other markets including Ontario and BC. As noted by Brian, we have been closely following the tragic events in Fort McMurray and are working with our customers to assist them. To-date, our review of our credit exposures and related mitigants, including insurance, would indicate that any of related loan losses will not be material. Turning to international, retail credit performance leading indicators also remain stable in the quarter. We operate a diverse number of portfolios across different geographies and some books are performing better than others. We have seen particularly strong credit performance in Mexico and the Caribbean. Overall delinquency rates remain generally stable across international retail. Looking at our corporate and commercial loan books, we did see increased provision related to our energy exposures and to a lesser extent, Puerto Rico. I will have more to say on the energy portfolio in a minute. Looking at the credit metrics, our gross impaired loans were relatively stable, up 1% quarter-over-quarter. Similarly, our net impaired loans as a percentage of our portfolio also increased 1% compared to a year ago. Debt formations increased to $982 million, up from the $806 million in the prior quarter. The increase was driven by corporate and commercial lending exposures in the energy sector. Looking at market risk, which remains low, our average one day all bank VAR was $13.9 million, down $1.3 million from the prior quarter. Slide 16 shows the trend in loss rates over the past five quarters for each of our businesses. For context, nearly 80% of our total PCLs relate to our retail business. As I mentioned, we expect the Bank’s loss rate of 64 basis points in Q2 to be the peak level of loan losses for the year. The quarter also included a $50 million increase in the collective allowance for performing loans. Adjusting for that collective, the Bank’s loss rate is 59 basis points, up 18 basis points from the same quarter last year. The increase in loss rates from the prior periods was almost entirely driven by higher losses in corporate and commercial lending exposures primarily related to the energy and International Banking and the Global Banking and Markets division. And this drove the high PCL ratios in each of these businesses. In international, our retail risk was stable quarter-over-quarter and showed a nice improvement from last year. Canadian Banking’s PCL ratio was 28 basis points. This was up from prior periods as the Bank’s asset mix into higher yielding products continues to evolve. Overall, we believe our credit portfolios remain in good condition. And as we have been proactive in managing our energy exposures and taking provisions, we expect PCLs to move lower in Q3. Turning to Slide 17, we provide a more detailed update on our energy exposure, which continues to be actively managed and candidly, is playing out as we expected and indicated almost 18 months ago. Our total committed exposures declined $4.3 billion from Q1 with drawn corporate entity balances declining $1.6 billion to $16.3 billion. More importantly, the bulk of this decrease occurred in the E&P and oil field services sub-sectors. Approximately 50% of our drawn portfolio is investment grade and that increases to almost 75% for the un-drawn commitments. Compared to last quarter, the level of drawn investment grade percentage decreased as a result of credit migration as well as repayments. As we expected, we have had some downgrades this quarter, but the watch list component of our energy portfolio remains within our risk appetite. As a reminder, most accounts in the watch list do not necessarily result in actual losses, but rather garner closer attention as we work with the borrower. The additions to the watch list were driven almost entirely by E&P and oilfield services exposures, which remain our key areas of focus. Looking at the E&P and oil field services in more detail, the cumulative loan losses since Q1 2015 have amounted to $277 million. It is worth noting that there have been no net losses associated with our midstream and downstream portfolios. And as discussed last quarter, for the E&P and oilfield services accounts that we are focusing much of our attention on, approximately two-thirds of issued debt that ranks below our senior position and capital structure. On average, this debt is a multiple of the Bank’s financing and illustrates how risk is distributed away from the senior lenders. In fact, we have had nine accounts undergo bankruptcies or pre-packed restructurings since last quarter. For these accounts, given the Bank’s senior position in the capital structure, our provisions were minimal, only single-digit percentage levels and we would not expect any further provisions from these accounts. For many of our E&P accounts, we are in the midst – in the process of completing the spring borrowing base re-determinations, which should conclude by mid to late June. With more than 70% of these reviews completed, almost 25% of our upstream accounts have either maintained or increased their credit facility based on increased reserve production. For the remaining 75%, the reduction in credit is averaging approximately 20%. In these instances, clients are continuing to make the necessary and prudent moves including further reducing expenses and selling assets in order to reduce debt and maintain liquidity. There continues to be a market interest in loan covenant relief, which we believe serves as an indicator of potential credit stress and facilitates a healthy discussion between the banks and the borrower. In these instances, the bank works to be constructive with the borrower to improve the situation, but we do not compromise our economic interest. In fact, our lending position with these accounts improved primarily through loan reductions and/or increased security. Now turning to the energy related provisions this quarter, the Bank saw PCLs increase to $150 million from $79 million last quarter. The new PCLs were in the focus areas that we have discussed with much of the increase related to a single account in Colombia, that quite frankly, did not adhere to the quality underwriting standards of good assets, good management and strong structure that we see in the rest of our portfolio. Looking forward, assuming the market environment continues to operate around current levels, we believe energy related PCLs at peak this quarter. We are encouraged that oil prices are up, which is generating renewed interest in both asset purchases as well as providing borrowers access to markets for capital. As such and this is a very important point, we see cumulative loan losses for the 2015 to 2017 period for the energy portfolio to be between 3% and 3.5%. This is based not just on a portfolio stress test, but also a bottom-up, name by name review of each of the company’s asset valuations, liquidity profile and our debt structure. We remain encouraged by the resilience of our energy portfolio of senior ranking in the capital structure and we will continue to proactively manage these exposures. And with that, I will now turn the call back to Brian.
Brian Porter: Thank you, Stephen. Before we open the call for questions, I would like to comment briefly on each business lines performance over the quarter and make some brief remarks on our outlook. As noted earlier, Canadian Banking had another quarter of strong results. James and his entire team are executing on their strategy to improve the customer experience, enhance our business mix and drive efficiency gains. Their efforts are delivering solid growth in the businesses and products we are targeting. I would like to call out the continued strong growth in deposits, particularly in personal deposits, which reflect our increased efforts to focus on both sides of the balance sheet. Our deposit growth paired with our focus on targeted growth and assets that provide attractive yields will continue to enhance our risk adjusted margin. This quarter, we saw solid expense management with underlying expenses only up slightly from Q2 last year. A continued focus on efficiency combined with our good revenue growth will support greater operating leverage. As we move into the second half of 2016, despite slower growth in some markets, we expect continued good growth in Canadian Banking through the balance of the year. Turning to International Banking, as Sean noted, the division delivered another strong performance. This quarter also marks the third consecutive quarter with at least $500 million of earnings, which is consistent with the expectations we have shared with you over the past year. Similar to recent quarters, the strong results were again driven by the Pacific Alliance region. We saw particularly strong growth in Mexico and Peru. The strong operating results this quarter allowed us to earn through the higher energy related loan loss in Colombia that Steven mentioned. We expect the strong business momentum in International to continue as provisions move back towards Q1 levels. Improving results in the Caribbean and Central America continued to contribute to growth in International and reflect the economic environment, which is as strong as it has been in many years across the region. Our outlook is for continued strong performance from the Pacific Alliance region, which will continue to be a growth engine for International Banking. Finally, in Global Banking and Markets, as we have discussed, results this quarter were negatively impacted by elevated loan losses related to energy. We would characterize the recent level of quarterly earnings to reflect the bottom end of expected earnings power from this business. As we move into the second half of the year and Dieter’s first full quarter, we are encouraged by the pipeline in this business and expect better trading conditions. As a result, we expect the business to deliver an improvement in earnings. In closing, we are encouraged by the results from our P&C businesses here in Canada and internationally this quarter. Together, they represent more than 80% of our divisional earnings. As Stephen noted, we expect loan losses from the energy sector to peak this quarter and for the current cycle accumulative losses will be between 3% and 3.5%, lower than many expect, which reflects the quality of our portfolio and underwriting. We are confident that we are on track to deliver improving financial and operating results for our shareholders over the balance of this year. I will now turn the call back to Sean for Q&A.
Sean McGuckin: Alright. Thanks Brian. That concludes our prepared remarks. We will now be pleased to take your questions. Please limit yourself to one question and then rejoin the queue to allow everyone the opportunity to participate in the call. Operator, can we have the first question on the phone please?
Operator: Your first question comes from Meny Grauman of Cormark Securities. Please go ahead sir. Mr. Grauman your line is open.
Meny Grauman: Hi, can you hear me now? Hello.
Brian Porter: Yes.
Meny Grauman: Good morning. Sorry about that. Stephen, you mentioned cumulative losses of 3% to 3.5%, I am just wondering if you can talk about how that would hold if conditions stayed stable, if you could just comment on the sensitivity to different assumptions, are oil prices a big part of that outlook and how would that change if oil prices went back down or – and if you could comment on maybe some other key assumptions that are driving that outlook on the accumulative loan losses?
Sean McGuckin: Sure, Meny. I mean, when we did this analysis, as I said, we did it company by company, reserve base by reserve base, and quite frankly, we used the oil and gas prices that’s in our deck that dates back to February, so these are numbers that do not reflect the current up-tick. So any up-tick that we get that’s sustainable will be an improvement to those numbers, so we were still going off the $30 to $35 range for oil, and so you can go with that.
Meny Grauman: Okay. And then, if I could just ask a question just on the restructuring, you talked about three different areas of cost savings including the branch network, and I am wondering how would the cost savings basically get divided across those three areas, is the most – is most of the cost savings over the expected term related to savings from the branch network?
Sean McGuckin: I will take that one, Meny. No, it would be – as I mentioned, there is the Canadian Banking, there is the internal corporate services we are looking at and also just simplifying and streamlining our operations. When you look at the final allocation benefit, because we do allocate savings – the corporate function costs to the business lines, as I mentioned it earlier, Canadian Banking will generally get 70% of the net savings benefit, GBM about 20% and IB kind of the small balance after that.
Meny Grauman: And when you talk about the branch network optimization, do you have any numbers around that in terms of number of branches or square footage, can you give us any sort of sense of how dramatic those changes will be and over what time?
Sean McGuckin: I will ask James to give some color on that.
James O'Sullivan: Sure. So Meny, we have just over 1,000 branches as we speak. That would be down from a peak of about 1,040. So we have been opening branches and we have been consolidating branches and we are opening branches every quarter as we speak. I would say it’s difficult to forecast on a go-forward basis as we are right on the cusp now of piloting our new branches of the future. So we are going to have an express format called Scotiabank Express. We are going to have an advice format called Scotiabank Solutions, and we will continue to have a lot of full service branches as well. My point is that learnings from these pilots are going to shape future openings and future consolidations. But to your specific question, based on our current knowledge, we might expect a further reduction of 4% to 5% over the next 2 years. But I do want to be clear Meny, branch transformation for us, it’s about much more than just openings and consolidation. It’s about new branch formats. It’s about more technology and it’s about new and better roles for our employees that involves less paper.
Meny Grauman: Thanks.
Sean McGuckin: Next question please.
Operator: Your next question will come from Gabriel Dechaine of Canaccord Genuity. Please go ahead.
Gabriel Dechaine: Good morning. Just want to talk about the international business, actually the credit trend there, first of all, it looks like you had a $50 million credit mark release, where would that show up, would that be in the commercial portfolio?
Brian Porter: I will take that one. That comes from the some of the recent acquisitions, the acquisitions of Citibank in Peru, Costa Rica, Panama, and a bit [indiscernible] from last year. But even on the credit markets being released, we are also adding provisions to build up reserves in those as well. So the net acquisition benefit to the bottom line is the best way to look at that and that’s both $20 million or so for International Banking and about $15 million or so for Canadian Banking.
Gabriel Dechaine: So it wasn’t all in International, sorry that’s how I read it.
Brian Porter: Not all of that falls in there.
Gabriel Dechaine: But would that have been in internet – the element that was in international, was that international and commercial, what I am getting at here is that it looks like, maybe we can do it rather this way, the losses and international and commercial were very high, you talked about one account in Colombia and some others in Puerto Rico, I am just wondering what kind of went on there?
Brian Porter: Most of the acquisitions were on the retail side. And so the credit mark to the majority is on the retail side and not on the commercial side.
Gabriel Dechaine: Okay. So what was going on in the commercial side as far as the type of loss you incurred, which is much, much higher than the run rate we have seen there, how – is it really a one-off there, some special situation that went awry, I guess?
Brian Porter: Yes. As indicated Gabriel, there is one loan that we have had that has been non-accrual for the last few quarters. And quite frankly, with a sizable portion of the $150 million that I quoted, so well over 40% of that $150 million related to that one particular loan in Colombia, which quite frankly, as I indicated did not reflect our normal standards and we’ve decided to just take it down to the bare minimum. So that truly in our mind is a one-off with International. The rest of the portfolio performed well as indicated. We did pick up, do some additional increases in Puerto Rico given the ongoing situation that’s going there. But on average, the rest of the portfolio is performing very well.
Gabriel Dechaine: And I guess that begs a question what – how can I get – being comfort that this is truly a unique situation, there is one particular that didn’t meet your normal criteria, whenever we see things like this, you kind of wonder is there anything more that didn’t meet these – the normal lending criteria of the bank?
Dieter Jentsch: Gabriel, it’s Dieter. We talked about only one formation at our Investor Day in Mexico and there was isolated one problem account and that one came to fruition.
Gabriel Dechaine: This is the one, okay?
Dieter Jentsch: Yes. We are quite clear about our investment and this is the one.
Gabriel Dechaine: Okay. I missed that one probably. Okay. And then just a quick one on the margin in Canada, it looks like it was up but mostly due to the Chase, I guess, so excluding Chase, which was around 6 basis points of balance, is this mostly prime/BA spread narrowing that’s causing the margin to kind of reverse a little bit?
Brian Porter: No. We see continued margin pickup. We are seeing a lot of the value come to the deposits as we have the stronger deposit growth in checking and savings. That’s adding a positive mix to our margins. So we would again continue to see margins generally being flat to slightly up as we continue to evolve our business mix in Canadian Banking.
Gabriel Dechaine: Okay, alright. Thanks.
Brian Porter: Next question please.
Operator: Your next question comes from John Aiken of Barclays. Please go ahead.
John Aiken: Good morning. With the sale of the run out leases that occurred at the end of the quarter, can you give us some sense as to what the anticipated dilution to net interest margins will be and what potential offset could come through on the PCL ratio for Canadian consumer?
Sean McGuckin: You want the net interest margin impact and the net sale?
John Aiken: Yes.
Sean McGuckin: That would – that’s very small portfolio, I think it will last through $1 billion out of our total $300 billion in Canadian Banking, so it should not have a meaningful impact in our margin. And sorry, what was your second question?
John Aiken: Then an offset on the – anticipated on the PCL ratio?
Sean McGuckin: Yes. We had very little losses in that business, so it shouldn’t have much impact at all on our PCL ratio.
John Aiken: Okay. Thanks Sean.
Brian Porter: Next question please.
Operator: Your next question comes from Robert Sedran of CIBC. Please go ahead.
Robert Sedran: Hi Sean, I just wanted to come back to the restructuring initiatives if I can, there is a pretty big ramp into 2019 and so is this just kind of the delay in branch closing, is it the size of the initiatives you have underway that – is this going to take some time or are there investments that need to be made in the meantime?
Brian Porter: Yes. So the benefits of $750 million are a multiple of the charges you saw this quarter. And as I have mentioned, we have some immediate near-term savings mostly from simplifying the organization, some near-term benefits on some sourcing procurement initiatives. But some of the other ones, the branch network transformation that plays out over 18 months to 24 months. As we look to improve the cost to deliver our internal services, be it finance, HR, risks, some other functions, that takes a bit of time to lean out some of those operations and get some consolidation synergies on that. So the investments for those ones take a bit longer are being paid for by the near-term savings. So when I mentioned $350 million savings in ‘17 and then ‘18, further $200 million to get the cumulative rate of $550 million and a further $250 million, is because the second part is 18 months to 24 months pieces. The investments are being paid for by the near-term savings. But once you get through the full cycle, that $750 million is a run rate benefit from current levels. And as we mentioned, will improve productivity by 200 basis points to 250 basis points from these initiatives by then.
Robert Sedran: Okay. And just a follow-up, I mean there is – I guess there is a perception externally that there has been an awful lot of transformation at Scotiabank over the last few years. And Brian, I am curious how you characterized the amount of transformation that’s been happening and how much execution risk you put around the latest round considering again externally at least, it feels like there has been a fair bit going on?
Brian Porter: Yes, that’s a fair question, Rob. Let me go back. If you look back 4, 5 years ago, the bank was extremely acquisitive and I think from the start of the crisis through to the 2012, 2013, the bank did some 25 different acquisitions, most of them internationally. So, we had to go through a period of digestion and integration. And as I have always said, buying is the easy part, integrating these businesses is the tougher part. So, the charge we took in Q4 of ‘14 largely related to the International business, branch optimization, some – few factors in the Canadian business. We have been working on this structural cost initiative for the past year and a half. It largely relates to the Canadian operations of the bank and that’s really focused around the customer, the customer experience and digitizing the bank. In terms of pace of change and the degree of change, I spent a lot of time with the management team here. We spent a lot of time with the board thinking through what we are doing, the pace of change, how much can the organization absorb at any one time. And we are very comfortable with the pace of change. And I am also cognizant of the fact people want to tell me what I want to hear from time to time. But as I crisscrossed the country and talked to people, our customers and our employees about what we are doing, overwhelmingly, they say, this is great. We are glad you are doing it. It’s about time. So, I think summing it up, we have been very thoughtful and deliberate about the pace of change and the degree of change here and we are very pleased as to where we are.
Robert Sedran: Thank you.
Brian Porter: Next question, please.
Operator: The next question comes from Peter Routledge of National Bank Financial. Please go ahead.
Peter Routledge: Hi. A question for Brian just on the restructuring. On Page 9, which is very useful and I appreciate you are quantifying the goals. I always thought Scotia was really strong on expense management. And through the size of this restructuring and then the goals you intend to achieve were a lot more than I would have thought and I am trying to figure out why that might be the case? And the three reasons I came up with where either the bank wasn’t as disciplined on the expenses as I had thought. The bank was underinvested in technology that would be another explanation or there is something more profound happening in your business and your platform is changing more significantly than I expected. So, I wondered if you could talk about what the explanation for the scale of this change or how do you explain the scale of the change to this business?
Brian Porter: Well, I think that most of this, as I said in the last question pertains to the Canadian operations of the bank. And if you look at our efficiency ratio compared to our peer group, there is lots of room for us to deliver more efficiencies for our shareholders. So, we did a deep dive and a diagnostic on the Canadian bank with James and his team and efficiency isn’t – it’s an ongoing initiative around here. It doesn’t – you just don’t do a program and then stop. So, this is a continual program. And part of this is I would describe as catch-up and part of it would be getting to the top of the pack.
Peter Routledge: And the gains are inclusive of any new investments you make in technology or the gains you are forecasting?
Brian Porter: Yes, we have – beyond this structural cost program we have had some other ongoing cost initiatives within the business lines. We have had a higher regulatory spend in terms of our technology. So, when you think of some of those running off and the other ongoing initiative opportunities we see in the business lines, a lot of that will pay for the ongoing digital transformation that you will hear more of from the bank. So, we are fairly confident that the large piece of these benefits will make it to the bottom line from this most recent structural cost reduction program.
Sean McGuckin: Peter, another way to look at it to provide some color for you is that if we look at the bank’s ROE and this is an industry trend, the compression of ROE over the last 5 years, if you look at the components, the biggest components of compression on our ROE is one has increased capital or less leverage, which is obvious. The other one is just a lower margin environment. So that one of the ways you are going to offset that is using technology to your advantage and digitizing the Bank. So productivity gains are going to help offset margin compression and increase the amount of capital that we hold as an organization.
Peter Routledge: Alright. Thanks very much.
Brian Porter: Next question please.
Operator: Your next question comes from Mario Mendonca of TD Securities. Please go ahead.
Mario Mendonca: Good morning, Sean if you can go back to the restructuring and I may ask for a level of precision that you can offer here, but let me give it a shot anyway, when you talk about using the expense savings to fund all the necessary investments, is that the same as saying that in ‘16, ‘17 and ‘18, that there will be no net contribution from these restructuring initiatives to the Bank’s expenses and earnings and it all really falls through in ‘19?
Sean McGuckin: No, I am not saying that at all. We are saying that we expect near-term benefits. So your question is the $350 million savings we project for ‘17, how much of that falls to the bottom line, right, your general question?
Mario Mendonca: That’s right.
Sean McGuckin: So again, we continue to work out our digital strategy and as Brain had mentioned, we are going to have Investor session later in the year to lay out for you to our digital strategy over the near-term. That will require investments, but some of the money where we have been spending recently will not be at the same pace and that’s generally around regulatory investments we have been making to meet some recent regulatory requirements and as often some other near-term efficiency initiatives within the business lines that are also freeing up capacity to invest. So again, I am fairly confident we are going to have a large – very large portion of $350 million make it to the bottom line in ‘17 and a bit more in ‘18 and a bit more in ‘19 until we get to that run rate savings.
Mario Mendonca: Large portion of the $350 million and the $550 million then fall to the bottom line?
Sean McGuckin: Yes.
Mario Mendonca: Okay. So then what we are dealing with then is inflation obviously, which I guess for Scotia runs higher than the sort of 2% or 3% because of your international business, so we should factor in some inflation, some investment spending and then take off a large portion of this $350 million and that will get us to I mean it’s I am not asking to prepare the model for me, but that’s the general…?
Sean McGuckin: Yes, something we just built it. As you have seen in the past, technology spend is our highest expense category for growth and we expect that to continue. And we expect it to maybe moderate from the 20% plus rate we have been seeing in the last couple of years, that will moderate. But overall, we expect these savings to offset the inflation and some of the higher technology spend going forward.
Mario Mendonca: Okay. So real quickly then, just on credit, you – Stephen, you talked about $300 million to $350 million in cumulative losses, ‘15 to ‘17, 2015 to 2017, where are you right now on that?
Stephen Hart: Right now, we are $270 million…
Sean McGuckin: $277 million, 1.7…
Stephen Hart: $277 million.
Sean McGuckin: 1.7%.
Stephen Hart: 1.7%.
Mario Mendonca: So 170 basis points a year, so you are about halfway through that?
Sean McGuckin: Yes. We are in the bottom of the fifth.
Mario Mendonca: It sounds good. Thank you.
Brian Porter: Next question please.
Operator: Your next question comes from Doug Young of Desjardins Capital Markets. Please go ahead.
Doug Young: Hi, good morning. Just – I think most of my questions have been asked and answered, but I did notice that you did do a bulk mortgage reinsurance deal I think it was in the quarter, correct me if I am wrong, but just wanted to get a little bit of sense of why and what regions that related to, so just a little bit more detail around that? Thank you.
Brian Porter: That was really mostly around giving us some flexibility for balance sheet managements, provides us more liquid – liquidity, more liquid assets, some flexibility around funding. There is some real change that come July 1, about the purchase of insurance and what purity we have got to actually apply it out if you want to securitize. So overall, it was just balance sheet optimization, small capital benefits, but again it was really around balance sheet flexibility.
Doug Young: Can you quantify…?
Brian Porter: And it was across the country...
Stephen Hart: Yes. It was across the country. And you are seeing that our LTV, loan-to-value ratio for the uninsured portfolio because of that improve from about 55% down to 51%.
Doug Young: And what was the – can you quantify the capital benefit, was it 5 basis points or somewhat smaller, just quantify...?
Brian Porter: It’s around that range, 5 basis points.
Doug Young: Okay. And then just secondly, on the International Banking side, I noticed just acquisitions were a big part of the NIM expansion year-over-year I guess excluding acquisitions, that would have been 19 basis points or that acquisition – I am going to guess, predominantly that’s Cencosud, is that correct?
Brian Porter: Yes, on year-over-year basis, Cencosud was a big driver of that. The more recent ones in Costa Rica and Panama also contributed to that as well. But looking from Q1 to Q2, the margin increase was quite meaningful, about two-thirds was from acquisitions and one-third was from just organic growth in our margin.
Doug Young: Okay. Thank you.
Brian Porter: Next question please.
Operator: Your next question comes from Darko Mihelic of RBC Capital Markets. Please go ahead.
Darko Mihelic: Hi. Thank you. Good morning. I just want to make sure I understand the commentary around the problem loan in Colombia and maybe you can perhaps help me with this, on Page 18 of your supplemental, when we look at the commercial classifications in the quarter of $222 million, would that include that account that was in Colombia?
Brian Porter: No, that was classified I think in Q1.
Stephen Hart: Yes.
Darko Mihelic: Okay. So then what is it that’s building the big classifications in Q2, is $220 million a classification?
Brian Porter: Yes. We would have ongoing energy classifications. That’s the bulk of the classifications.
Darko Mihelic: In International?
Sean McGuckin: International commercial, there were two classifications in Puerto Rico. But the rest of it and that would probably pick up some of the delta, but the rest of it was just across the board.
Darko Mihelic: And then going back to the account that was classified in Colombia, that was classified in Q1 and would largely…?
Sean McGuckin: Yes.
Darko Mihelic: Okay. What was it that required the next quarter to realize you weren’t going to collect much money on that account?
Sean McGuckin: Well, as you know restructurings and negotiations are ongoing issues. This was a complicated transaction. In this case, there were not just banks but there were also bondholders, new equity investors as well as the existing management group. So quite frankly, it was a moving target that we had hoped for a better result. And quite frankly, at the end of the day, that result didn’t come, so we decided to take the hit, move on.
Darko Mihelic: And then just to wrap up and so the – one could take a view that there could be other similar such circumstances that other loans that are already classified as impaired that would require top ups to your provisions in future quarters, what would you say to that kind of a thought process?
Sean McGuckin: I would indicate that as I said earlier, we have done a name by name analysis. There were one or two other loans that we did top up this quarter, but that was the extent of it. We feel very comfortable where our existing provisions are.
Brian Porter: Darko, it’s Brian. I think that because this was a one-off, it requires a further explanation, which you are requesting. As this was – when you go through a cycle like this, there is always one loan you wish you never did and this would be the one. And I think that it lessons under the category of lessons learned on this point was the quality of the reserves and the quality of the management’s team ability to execute. And it’s been a painful experience for us, but this is a one-off situation.
Darko Mihelic: Okay. Thanks very much for that commentary.
Brian Porter: Next question please. This will be the last question.
Operator: Your next question comes from Sohrab Movahedi of BMO Capital Markets. Please go ahead.
Sohrab Movahedi: Okay. Thank you. Brian, internal capital generation in the quarter, less than 20 basis points, lots of puts and takes, how should we think about Scotia’s internal capital generation given everything you have talked about, we have seen peak loan losses probably, we see expense benefits coming through, some investments going through, how do you think about your internal capital generation over the next four quarters to six quarters, let’s say?
Brian Porter: Yes. We are – we haven’t talked about this, but I alluded to it in my comments, we are proud of what we have done in terms of balance sheet optimization here. I think the organization gas done a very good job on deposit growth, personal deposit growth both here in Canada and internationally. And we have done a lot of work in terms of risk weighted assets and looking at underperforming parts of our portfolio. And you saw the benefit of that this quarter. We still have some more work to do on – there is always work to do on cleaning up your risk weighted assets, but we have made very good headway. But there is still more work we can do in subsequent quarters. So this has been a bit of a messy quarter. There is lots of moving parts in our quarter, but we are optimistic about capital generation in Q3 and Q4 and into 2017.
Sohrab Movahedi: But above this quarter’s levels?
Brian Porter: Yes.
Sohrab Movahedi: Yes. Okay. Thank you.
Sean McGuckin: Alright. That concludes the call. Thank you all for participating. We look forward to talking to you next quarter.